Operator: Good afternoon and good morning, everyone. This is Constantin Baack, CEO of MPC Container Ships. And I'm joined by our CFO and Co-CEO, Moritz Fuhrmann. I would like to welcome you to our Q1 2024 Earnings Call. Thank you for joining us to discuss MPC Container Ships first quarter earnings. This morning, we have issued a stock market announcement covering MPCC's first quarter results for the period ending March 31 2024. The release as well as the accompanying presentation for this conference call are available on the Investor and Media section of our website. Please be advised that the material provided and our discussion today contain certain forward-looking statements and indicative figures. Actual results may differ materially from those stated or implied by forward-looking statements due to the risk and uncertainties associated with our business. Today, we will cover an agenda and divided in three sections. One is the Q1 2024 in review, which will be presented by Moritz. And then I will take over to run you through the market update and the company update. And on that note, I'm happy to hand over to Moritz to run you through the initial slides.
Moritz Fuhrmann: Thank you very much, Constantin, and also welcome from my side. Looking at the first slide, 2024 starts with yet another successful quarter for MPCC, both financially and operationally, and well ahead of expectation. The MPCC fleet was almost fully utilized during the first three months of this year, generating strong income and cash flows. On that basis, the Board of Directors has declared a recurring dividend of $57.7 million or $0.13 in line with the previous quarter. This brings the total dividends paid to shareholders since 2021 to almost $850 million. The company also continued a strategy around portfolio optimization as we continue to dispose of older noncore assets. And at the same time, in early January, we have placed an order for one further 1,300 TEU methanol dual-fuel vessel in a joint venture together with Unifeeder. The vessel will be delivered in the fourth quarter of '26 into a seven-year time charter with Unifeeder, providing significant derisking of the project as the construction cost is almost fully covered by the contracted EBITDA. As to the current market, we see continued disruption caused by the geopolitical events in the Middle East and the subsequent rerouting of vessels continues adding significant demand and hence pushes both freight rates and time shutter rates up. However, it remains to be seen as to how long the current events will last and as to when a normalization will unfold. Turning to the next slide and looking at our KPIs, the company has generated strong revenues of close to $150 million, adjusted EBITDA of $96 million, and a net profit of close to $77 million. Consequently, and as just mentioned, the MPCC will pay $0.13 dividend per share for the first quarter in '24. Looking at the balance sheet, the leverage remains very low at around 13% in line with our low leverage strategy, while the net debt position has actually turned cash positive since the fourth quarter of '23, and hence underlying the company's very strong financial position. Operationally, costs are in line with expectation and budget, while utilization has been exceptionally high. Reason being a shift in a number of dry-dockings that were initially scheduled for the fourth quarter, however, will now take place in Q3 and Q4 this year, and hence affecting the second half of 2024. Looking at Slide 3, and the strong increase in cash position relative to the previous quarter, as you can see, this is primarily driven by the strong operational performance of the company, generating $90 million. Equally strong has been the investing cash flow, which is reflecting vessel sales and the respective physical handover of those vessels. As just mentioned, there has been a shift in dry-dockings. that we experience and hence the investing cash flow was positively impacted against expectation. Again, reason being global supply chain disruptions taking its toll and causing significant longer lead times for spare parts needed during the dry-dockings and therefore causing the unexpected delays. Turning to Slide 4, and looking at the company's dividend journey since we embarked in Q4 '21, MPCC continues its impressive path as we return capital to shareholders in line with our dividend policy. We will distribute the declared $57.7 million to shareholders in June, making the total distributions close to $850 million or NOK19.17. This will be the 10th consecutive dividend that we pay and based on this quarter's dividend yield today, dividend yield increases to already 20%. Going forward, and that's probably the most important message for investors, we will continue to walk the talk and emphasize as we did on the part on distributions to shareholders. Looking at some portfolio highlights on the next slide, we had a busy period in terms of fixing since the last reporting in February, having fixed 12 vessels in total. The chartering deals that we concluded entail a variety of asset sizes. However, the trend is very much evident and a good reflection of the current market dynamics. As you can see, and apart from a few outliers where vessels have been fixed up until dry-docking or for repositioning out of the carrier and into Europe, that both rates and durations have increased significantly over the past weeks. I think noteworthy is the recent package deal that we did with Hapag-Lloyd where we extended four vessels in total including forward fixing positions, eight months ahead of expiration date and at rates close to $20,000 per day. So for the larger assets in our fleet, it's fair to say 24 months is the new standard. And as we speak, we see continued inquiries from the big operators trying to secure tonnage matching the current demands dynamics in the market. Turning to Slide 6, and our portfolio activities, we have successfully delivered three vessels to X respective buyers from an unblocked deal that was agreed end of '23. And also, since the last reporting, we have agreed another on-block sale, including one 1,500 TEU and one 3,500 TEU vessel for $25.5 million, divesting older and less efficient tonnage and taking advantage of a very strong S&P market. All vessels sold and delivered have an average age of around 18 years and hence underlying our efforts to renewing the fleet. On the flip side, we continue with the reregulation of the fleet, having ordered another 1,300 TEU methanol dual-fuel vessel in early January, together with Unifeeder, who also provides a seven-year time charter as of the delivery in late 2026. Looking at Slide 7, and ESG in the context of MPCC, as our sustainability efforts should not go unnoticed, in '23 and year-to-date '24, we have kicked off and finalized a number of initiatives, namely full compliance with maritime emission regulatory schemes. We signed the company's first ECA covered green loan for our green box new buildings and we set in motion the readiness for our upcoming CSRD reporting requirement well ahead of deadline. On the asset side, in regard to greenhouse gas reduction, we have and will invest around $400 million, which includes our new buildings that are fully covered by contracted cash flow. And that includes fuel efficient secondhand tonnage, which we acquired last summer, as well as including extensive retrofit measures, such as installation of new bulbous bow and propeller, improving consumption by up to 20%. And last but not least, as we have communicated in our ESG report, we as a company have committed to a greenhouse gas reduction trajectory in line with the IMO, showing significant reduction by '23 and being net 0 by '25. And on that note, I'm handing back to Constantin for the market section as well as the outlook.
Constantin Baack: Thanks, Moritz. Following the Q1 review, I would now like to run you through the market section of the presentation so please turn to Slide 11. For 2024 most of the analysts and research houses have expected to see a different picture compared to what we experience in the container market today and the market developments have been very dynamic following the commencement of the attacks in the Red Sea region in December last year and it's certainly worthwhile to look at the market and assess it in a bit more detail. I would like to start with some reflections on the recent freight market developments. On Slide 11, the graph shows freight volumes in form of the annual world seaborne container trade in billion TEU-miles, that's the red line. And in form of prices in form of the CCFI freight rate index in the dark blue line. In terms of volume, looking at the red line, what can be seen is that volumes are at historically high levels, which is, amongst others, evidenced, for example, by high import figures in the US. We have seen an unusual peak season, and I'll get to that in a bit more details in a minute. On the rate side, starting end of last year, the Red Sea crisis has led to longer transit times and higher freight rates. The latter can be seen when looking at the chart as freight rates increased strongly. The initial freight rate assessment at the start of the year was that after Chinese New Year, freight rates were expected to decline, and so they did until April. However, since April, a multitude of factors have hit freight rates like what you could say a perfect storm. And that encompasses the following. Firstly, we have seen an earlier than usual peak season. As I alluded to earlier, US imports in April 2024 were up 9.3% year-on-year. And compared to pre-pandemic April 2019 levels, volumes were up by more than 15%. What are the reasons for this? Firstly, fear of tariff increases. There are tariffs on certain products, for example, steel and aluminum products, as well as on electric vehicles that will increase in the latter part of 2024. And therefore, some of these volumes have been advanced. Certainly, the fear of supply chain disruptions and hence empty shelves due to low inventory levels in the US and Europe. Importers are actively restocking, so we are in a strong restocking phase. And those are two very important aspects when looking at the development of volumes and rates. In addition, we have seen a number of port congestions, mainly in the Far East but also in the West Met. Some -- for example some transshipment ports like, as one example Barcelona have been up by more than 60% and there is a continuous congestion in certain bottleneck ports due to the increased volumes and demands and certain congestion aspects. That also applies for ports for example like Algeciras where we are seeing issues with waiting times as the mainline vessels being advanced and the smaller vessels have to wait, creating knock-on effect on capacity. And certainly, and very importantly, missing capacity to run the new rerouted services, avoiding the Red Sea region. We'll touch on that in a minute. But that has certainly also increased the volumes from a pure freight perspective, just as equipment shortages, which in my view will come even more pronounced in the weeks and months to come, as empty boxes are not available where they should be. Looking forward, outlook from the freight side, freight intelligence firm Xeneta for example is warning that rates could even rise further throughout June, surpassing the levels we have seen in the spike in early January. Now, let's continue with the next slide, when we look at in particular the charter market and S&P market and charter periods. Looking at the slide on the left-hand side, you can find a time series of charter rates, which is the blue line, and secondhand values, which is the red line. And on the right-hand side, you can see a time series showing average charter periods in particular for fixtures concluded. Let me start with some comments on the charter market. As can be observed, chart rates have significantly increased over the past months. Since December, the HARPEX index is up by almost 70%, and those rates are certainly above initial expectations. Going into the year the initial expectation for TC rates were that they would rather continue the downward trend which they had started in the second half of '23 or at least not improve. However, the additional TEU-mile demand created by the Red Sea bypassing and the resulting struggle of the carriers to reshuffle their networks has created a substantial demand for extra tonnage which would otherwise not have been present in the market. The situation is even exaggerated by the factors mentioned before, i.e., early peak season, congestions, et cetera. As a result, and that's I think very important when looking at the market today, the number of open positions in the charter market is very low. We are presently looking at an idle fleet of 0.6%, which is basically full employment of the global fleet. There is very limited supply of vessels above 2,000 TEU and that is even applicable for 2025 positions. But not that only charter rates increase significantly looking at the charter periods on the right-hand side. Also, what can also be observed is that most recently the renewed strengthening of the fixture terms also led to longer periods in Q1 2024 and certainly year-to-date 2024. Looking at some of the fixtures that Moritz has alluded to, one can argue that this index is lagging behind with 11.3 months in average period. We are rather seeing longer periods at present, which however is natural if you look at indices versus the actual physical market. Let me then have a look at also asset values. Asset values on the left are lagging behind a bit, also up by 15% to 20% since the beginning of the year with every additional year or quarter in longer charter periods, asset values are supported by stronger cash flows. So going forward, we are positive that also asset rates will move north and that in an environment where the overall fleet is almost fully employed with 0.6%, as I mentioned, only of the total fleet being idle. Given the large order book and expected high numbers of deliveries, expectations for '24 were different. Therefore, we would like to dig a bit more detailed into the Red Sea situation and the effects resulting from that on the next slide, Slide 13. On the left-hand slide, you can see a map illustrating the effects of diversions around the Cape of Good Hope in response to the situation in the Red Sea. As can be seen the diversions have increased the travel distances by about 35% to 40% in terms of nautical miles. This translates into longer transit times depending on speed somewhere between 14 and 20 additional days depending on vessel size and speed as I said. Some key factors on the Red Sea illustrate the impact of these longer transit times. Let me give you a few facts and details on that. Usually around 10% of global seaborne trade volumes pass through the Suez Canal, and around 30% of global container trade volumes pass through the canal, which translates into roughly 25% to 30% of vessels transiting the Suez Canal in terms of container ships. Whilst all sectors are affected, looking at the specific sub-markets, the impact on the container market is clearly more severe than the impact on other sectors with roughly 11% to 12% in terms of additional TEU-mile demand. Looking forward, the situation is fluid, but at present, a resolution seems more unlikely than not in the short-term and the disruption would likely take some time to unwind should the situation ease. Now, how did all this explain what is happening in the container market at the moment? Based on a number of data points on the right side of this slide, we have illustrated basically the initial base case, what was expected when going into this year, and how the current market dynamics actually evolve. The left part of the bar charts show that the underlying container trade demand growth was expected to be somewhere between 4% and 5%. However, the Houthi impact is immediate and there are numerous press reports about shippers pulling ahead cargos. So the demand which is currently perceivable, not kind of accounting for the base effect of the comparably weak past year 2023 Q1, we're effectively looking at demand growth of 4.7% plus roughly 11%, which is very, very significant. If you then consider the weaker Q1 2023, you would actually end up in an even more dramatic picture of 20% to 30% increase during Q1 2024. Looking at the supply side, full year fleet expansion was expected to be somewhere between 9% and 10%. But around 4% of the fleet is currently tied up through delays, which means the actual supply growth is more in the vicinity of 5%. So there is a clear disbalance in favor of demand at this stage, triggered by certain immediate effects in addition to the underlying fundamentals in terms of demand growth and new deliveries into the market. Now moving forward to the next slide, Slide 14. The chart on the left shows the development of the fleet on the water and the order book in red and blue columns respectively, and the order book to fleet ratio, which is the lighter blue line. Clearly, the supply side expansion has speed up driven by the strong ordering of the past years. However, as you can see, also a lot of vessels have already been delivered this year and the order book to fleet ratio and the order book as such being digested by the market. Since the start of 2024, the fleet has grown by more than 3%, which is obviously a very significant number and that is an aspect that will be relevant for the market going forward. However, for 2024, it seems that, as just explained, the Red Sea bypassing is overcompensating the fleet expansion and there is no immediate freight or charter weakness in sight. Currently, the order book to fleet ratio stands at 21%. While it's still elevated, demand growth for the next couple of years is expected to be 4%. So we see a very solid demand expectations going forward, whilst if you go out to the yards to order a new ship today, all yards are fully booked well into 2027, which means the expansion will not get worse as it stands today. If you then look at the order book on the right-hand side, again, the order book is pretty much skewed towards the very large units. In the smaller sizes, i.e., our sizes between 1,000 TEU and 6,000 TEU, the order book is not significantly large, whilst at the same time out of a pool of in total 3,000 ships in our sector, roughly 1,000 ships are above 20 years of age, reflecting a significant need for fleet renewal over the next three to five years. Moving from the market update to the company section, I would like to start with a more general view on our strategic priorities for value creation going forward. In a volatile and not easy to predict market environment, what matters a lot in my view is not only to have a solid understanding of the underlying market drivers, but also to ensure the company is well positioned in a way that it is on the one hand extremely resilient to cope with almost any market environment and developments, and at the same time, and that is very important too, a company and its people must be agile enough to be able to make use of market opportunities as they arise. At MPCC, that is our DNA and how we have always tried to position the company from the very beginning. Hence, we have operated on a strategy balancing the key aspects of our business and we will continue that path in order to generate long-term value for the company and our shareholders. The three main areas we balance in our strategy are portfolio and operations, capital allocation and balance sheet management, just a few words on that. We will -- from a portfolio and operations standpoint, we will continue to place a strong emphasis on our fleet in terms of operational excellence, cost control, maintain our high utilization, and continue our rational chartering strategy. We will also continue with our fleet renewal and optimization efforts, which will not only create long-term value for our shareholders, but is also in sync with our decarbonization strategy, as alluded to by Moritz. Capital allocation. We will continue our path of disciplined capital allocation and rational capital allocation that includes certainly strong commitment to shareholder returns and stick to our clearly communicated distribution policy. Balance sheet management. When it comes to our balance sheet, we will continue to ensure we operate on a highly flexible balance sheet. What does that mean? It means we want to maintain a significant number of ships debt free. We will also explore attractively priced financings for our new buildings where we will seek to optimize leverage as these vessels have long-term employment, and at the same time, we will reduce the leverage on our existing fleet and maintain at all times solid cash reserves and investment capacity going forward. How does that work in practice? Let's look at our upcoming charter book for '24 and '25 on the next slide, Slide 17. This slide shows the upcoming and already fixed charter positions for our fleet in 2024 and 2025 in bar charts from left to right. Out of the presently expected number of 40 fixtures for '24, we have already fixed 19, as we explained earlier, partly on forward positions, even including some 2025 positions. So out of the 40 positions, 19 positions have fixed. And even for next year, we have already forward fixed four positions, as Moritz has explained earlier. The market is of course heavily affected by the Red Sea situation and it is difficult to predict how it will develop going forward, but as an indication on the top right, we have shown current charter market levels, rates and periods as per late May according to Harper Petersen. As explained in the market section, the charter market is extremely dynamic and has seen a significant increase in levels and periods recently. At the same time, I can report that we are presently in active discussions with our charter clients on extensions for various vessels as we speak. From the forward book to our backlog, please move to the next slide, Slide 18. On the left-hand side, you can find some details on our backlog and our forward coverage. We have a revenue contract backlog of around $0.9 billion and a projected EBITDA of around $0.6 billion. In terms of coverage for the remainder of the year 2024 from left to right we see that for Q2 through Q4 we have 84% of all operating days covered already and for 2025 we have around 47 of the operating days already covered. As a high-level sensitivity in terms of potential coverage, just an indication should the market continue for another six months with the same charter periods that we presently see, we would likely move into 2025 with 75% to 80% of days covered, and 2026 we would already be around somewhere between 35% and 40% of the days covered. In addition to kind of the days covered we have on the right-hand side of the slide run a sensitivity in line with what we've done in previous quarters basically an open day sensitivity applying the red bars applying the 10-year historical average rates of Clarksons or the Clarksons April rates. I think it's important to highlight that this is the April rates which are lower than the rates shown on the previous slide. We wanted to be consistent and stick to the Clarksons rates. So that applies or that translates basically into certain operating revenue net profit figures as shown on the slide. And still on very attractive implied dividend yields for '24 and '25 of 19%, roughly '24 and around 12% to 13% depending on the scenario for '25 with more upside potential as the market evolves. Now, let me summarize the presentation on the next slide, where we look at the key summary aspects. Firstly, we are very happy with this quarter from a financial and operational performance standpoint. We will continue our low leverage strategy moving forward as explained. We will also continue to execute on our fleet renewal strategy, which we believe will enhance shareholder value going forward. In a fairly strong market with very high chartering activity and good levels and periods, we will continue to increase contract durations and charter our vessels also on forward positions, despite the outlook which is currently at this stage not easy to read. And from a pure kind of backlog perspective, we are confident that we will get more coverage in the weeks and months to come. And lastly, but certainly not least, on the back of the positive developments of the first quarter and recent weeks and months, we have raised our financial year 2024 guidance to now revenue expected for '24 of $475 million to $490 million and an EBITDA of $280 million to $305 million. And with that said, I would like to open the floor for a discussion and looking forward to receiving your questions. Thank you.
A - Moritz Fuhrmann: So we have received a few questions online, going through chronologically, starting with the first question. Your presentation provides good information on the availability of forward fixings, but could you elaborate a bit more on the current developments of this? Is the period available for fixing charters expanding or narrowing in time currently? As we have stated in the presentation, there's a bit of a mix what we see depending on where the vessels are trading geographically, who the charterer is, but one of the most recent fixtures that we have done, we managed to fix forward 8 months ahead of the expiration date. And that fixture was up to 1 year. If the vessel is more promptly available, you're talking about 24 months, also depending a bit on vessel size. So for our larger vessels, we are generally looking at new expiration dates of extending charters way into 2026. The next question is also on the chartering strategy. What is your current strategy on new contracts? Will you try to wait for higher rates? I think, it's fair to say that the current market is incredibly dynamic and it's essentially moving every day. Most of the fixtures or essentially all of the fixtures that we see is above last done. So obviously, we will try to trade it out as best as possible but at the same time also trying to hedge some of our positions that are coming open later this year, but also early '25. So it's a bit of a balance between keeping some market exposure to reap the benefits from an extremely dynamic market in which we are now, but also have some hedging elements on the fleet. The next question is on leverage. Since your net cash, what will be your leverage going forward? And do you have a target leverage? Will you increase leverage and pay out more to shareholders? We're not necessarily have a specific number in mind when it comes to the leverage ratio or the loan to value on the fleet. I think, it's fair to say that on the trading fleet, so the fleet that are currently on the waters, we will certainly maintain a low leverage as we see now. On the new builds that are being delivered, the story is a bit different. We have very long contract cash flows and hence feel certainly more comfortable to incur higher leverage. So overall from a company's perspective it's fair to say with the delivery of the 5,500 TEU's in the second quarter and the 1,300 TEU's later this year that the overall company leverage will increase, but at the same time obviously, we will also increase the contracted cash flow that we have on the fleet. And when it comes to paying out to shareholders, so we have our dividend policy that we pay out 75% from the adjusted net income or net profit. So the dividend is not necessarily linked to the cash position and we're certainly not raising that to pay out dividends.
Constantin Baack: All right. there's another question saying now that the market is more stable, will you consider distributing vessel sale gains as event-driven dividends? Absolutely, we have of course, our dividend policy in place. We will consider the event-driven distributions from time to time. We -- as also alluded to during the presentation, we are committed to our recurring distribution policy, meaning 75% of adjusted net profit on a quarterly basis. On the event-driven distributions that we have kind of paused in light of the uncertainty in the market, we would reconsider that over time. Possibly, if the market continues in the positive swing that we have seen recently, we would definitely consider that, but also weighing that up against other use of proceeds or capital. For example, if investment opportunities are more opportune than paying certain vessel sale gains out as event-driven distributions. So I think, it's not the time to give a very clear answer to that. Of course, we will see that over time. Historically, we have shown that we are prepared to pay out these kind of dividends and therefore, it is possible but it is not guaranteed and depends on the circumstances down the road. Then there is another question regarding the Baltimore incident and whether that had any impact on MPCC container in general besides regional impacts. It will have an effect on the overall insurance market potentially with potential larger claims being fired left, right, and center. It has no implications on us, whatsoever. We didn't have a vessel nearby or in any event operationally affected by the incident. And at this stage there is no -- nothing that that we think will impact MPCC going forward. There's another question regarding, and I read that out, regarding MPC Capital and MPC Container Ships. Could you give us an idea how MPC Capital and MPC Container Ships are working together currently or not? And how my -- Constantin Baack's, added position might affect that? What might the challenges from an MPC investor point of view be and how are they being addressed? Good luck managing those positions, hopefully staying with MPC Container Ships for years to come. So the question is basically the additional role that I have assumed as I will become CEO of MPC Capital in the course of this month, besides the co-CEO role in MPC Container Ships jointly with Moritz. Just a bit of background, I have been working at MPC Capital since 2008. I've been a member of the Management Board since 2015 and all along during my period serving as CEO of MPC Container Ships, since foundation in 2017, I have also maintained my responsibility on the Management Board of MPC Capital. So not a lot will change, has changed. Operationally, at least we or I have been able to navigate the responsibilities between the two companies for the last six years and that will not change despite the new title at MPC Capital. Furthermore, MPC Capital remains the by far largest shareholder in MPCC and primary sponsor with certainly long-term perspective on the ownership and shareholding in MPCC. Of course, the new roles have been discussed with the Board, the independent Board members, the Board members in general, and we have slightly revised also the management structure of MPCC over the last couple of years, bringing Moritz on board, establishing Christian Rychly as COO, and broadening the Executive Management team and therefore, that is my view and the view of the Board, we do have a very strong management team in place at MPCC and we are looking forward to growing the company going forward. Just checking whether there are more questions. That is not the case at this stage. Thank you for the interest. We don't see any additional questions coming in. As mentioned in our presentation, I think it's a very exciting market environment. We're looking forward to 2024, to growing the company going forward and to creating some additional value for the company and for shareholders. And on that note, I look forward to touching base in the next quarter. All the best. Take care. Bye-bye.